Operator: Good day and welcome to Genie Energy's Third Quarter 2020 Earnings Call. [Operator Instructions] In this presentation, Genie Energy's management team will discuss operational and financial results for the three-month period ended September 30, 2020. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that Genie Energy files periodically with the SEC. Genie Energy assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. During their remarks, management may make reference to adjusted EBITDA and pro forma revenue and pro forma income from operations for its Genie Retail Energy International segment, both are non-GAAP measures. Management believes that Genie Energy's measure of adjusted EBITDA and Genie Retail Energy International's pro forma results provide useful information to both management and investors that supplement Genie Energy's and the Genie Energy Retail International segment's core operating results. The Genie Energy earnings release includes a reconciliation of adjusted EBITDA to net income and of the pro forma Genie Retail Energy International results to their nearest comparable GAAP measures. The earnings release is posted on the Investor Relations page of the Genie Corporation website, www.genie.com, and has been filed on a Form 8-K with the SEC. After today's presentation by Genie Energy's management, there will be an opportunity to ask questions. [Operator Instructions] I will now turn the conference over to Michael Stein, Genie Energy's Chief Executive Officer. Please go ahead, Mr. Stein.
Michael Stein: Thank you, operator. Welcome to Genie Energy's Third Quarter 2020 Earnings Call. Today, we will discuss our operational and financial results for the three months ended September 30, 2020. As in prior quarters, my remarks will focus on our operational results and key performance indicators. Avi Goldin, our Chief Financial Officer, will follow with a deeper dive into the quarter's financial results. Following Avi's remarks, we will be glad to take your questions. Genie Energy added 21,000 net RCEs and 22,000 net meters during the quarter. Inclusive of Orbit Energy, we ended the third quarter with the largest global customer base in our history, 442,000 RCEs and 558,000 meters. Our continued expansion has been driven by our long-term investment in customer acquisition and geographic diversification across our REP business. This quarter, we again delivered growth in our global customer base while returning cash to our stockholders and reporting improved bottom line results. Let's start with our domestic retail supply business, Genie Retail Energy. GRE added 7,000 net RCEs and 1,000 net meters during the quarter. GRE's gross domestic meter adds in the third quarter totaled 44,000, a 4,000 meter increase from the previous quarter but still a 32,000 meter decrease from the pre-COVID-19 level we achieved in the third quarter of last year. The relaxation of some public health measures over the summer enabled us to resume modest levels of in-person customer acquisition programs in some markets. We should be able to return to more robust growth in upcoming quarters as we begin marketing in a few new utility territories, provided that governments continue to relax COVID-related selling restrictions. Monthly average churn fell to 3.7% from 3.9% last quarter and from 5.3% in the year ago quarter. The decreases reflect our internal efforts to enhance customer retention, the slower pace of gross meter adds since COVID-19, the pandemic-related reductions on customer acquisition efforts by our competitors and the migration of our book toward fixed rate plans, which typically experience lower churn rates than variable rate plans. GRE's third quarter financial results were keyed by a surge in average electricity consumption per meter, which more than offset modest margin declines. Midsummer's warm weather and the transition to stay at home during the pandemic both significantly boosted residential demand. At Genie International, we again delivered strong customer base expansion despite the challenges of the COVID-19 impacted environment. We added 14,000 net RCEs and 21,000 net meters during the quarter. At September 30, our International book held 92,000 RCEs and 182,000 meters, contributing 1/5 of our global RCEs and 1/3 of our global meters. International growth was led by our businesses in Scandinavia and the U.K., while pandemic restrictions severely constrained our ability to market in Japan. Lumo Energia, our Helsinki based supply business, delivered an especially strong quarter and entered a significant new market, Sweden. In the U.K., where we operate through our Orbit Energy joint venture, our meter and RCE counts both increased more than 70% compared to the third quarter a year ago and generated revenue at an annual rate of more than $50 million. In light of Orbit's rapid growth and promising potential, we bought out our JV partner's interest for $1.7 million last month. And beginning in the fourth quarter, we will consolidate Orbit's results as a wholly owned subsidiary. Given the vast size of the U.K. market, the capable local management team in place and the favorable return on investment we've experienced to date, Orbit is on track to become EBITDA accretive within the next two years and to be a significant contributor to Genie's growth for many years to come. At Genie Oil and Gas, we were able to begin our testing at Afek Ness 10 drilling site in Israel's Golan Heights last week. The well's initial results were ambiguous, and it is the last site in GOGAS' exploratory program where we could still find clear-cut evidence of a commercially viable resource. We could have test results this month, and if there's material news to share, we will share it. Before turning the call over to Avi to review our financial results, I again want to express my deep thanks to our employees who continue to do a fantastic job working primarily from home. Our continued progress would not be possible without their dedication and flexibility. Take it away, Avi.
Avi Goldin: Thank you, Michael, and thanks to everyone on the call for joining us this morning. My remarks today cover our financial results for the three months ended September 30, 2020. Throughout my remarks, I compare the third quarter of 2020 results to the third quarter of 2019. Focusing on the year-over-year rather than the sequential comparisons removes some consideration of the seasonal factors that are characteristic of our Retail Energy business. Results this quarter were again very strong. We delivered significant top and bottom line improvements from the year ago quarter, primarily due to strong domestic electricity demand and growth in our international markets. By the end of the quarter, we enjoyed a significantly fortified balance sheet with enhanced liquidity. Consolidated revenue increased in the third quarter of 2020 by 12% to $96 million. Revenue at Genie Retail Energy, or GRE, our domestic REP segment increased 10% to $89 million on a significant increase in average per meter electricity consumption that Michael mentioned. Strong electricity demand more than compensated for decrease in profit per kilowatt hour sold. At Genie Retail Energy International, the segment that comprises our REP operations outside of the U.S., revenue increased 92% to $5.8 million on meter growth and higher average revenue per meter. Consolidated gross profit, predominantly generated by GRE increased 4% to $27 million as the increase in kilowatt hour sold offset a decrease in gross profit per kilowatt hour sold. Gross margin decreased 240 basis points to 28.4% on the decrease in gross profit per kilowatt hour sold at GRE. Our consolidated SG&A spend decreased 3% to $19 million, as domestic restrictions on face-to-face customer acquisition programs during the pandemic slowed the pace of gross meter adds, which was only partially offset by higher spending on customer acquisition internationally. Equity and the net loss in equity method investees was $146,000 this quarter compared to $238,000 in the year ago quarter, reflecting our share of the results at Atid in Israel. We did not put additional cash into our U.K. joint venture in the quarter nor in the year ago quarter. As Michael mentioned, following quarter end, we acquired our partner's stake in the U.K. venture for $1.7 million. As a result, we will be reporting our U.K. financials as part of our consolidated results going forward. Consolidated income from operations increased 22% to $8.5 million, while adjusted EBITDA increased 19% to $9.5 million. The increase has resulted primarily from higher average consumption per meter and decreased domestic customer acquisition spend. At GRE, income from operations increased 14% to $12.3 million, and adjusted EBITDA increased 13% to $12.6 million. The loss from operations at Genie International was $1.6 million, and adjusted EBITDA loss came in at $1 million, both unchanged from levels in the year ago quarter. Consolidated earnings per diluted share increased to $0.24 from $0.18 in the year ago quarter. For those of you who are interested, our earnings release provides pro forma revenue and income from operations for Genie International inclusive of our U.K. businesses' results. Cash generated by GRE further strengthened our balance sheet. Cash, cash equivalents and restricted cash increased to $49 million at September 30, 2020, from $42 million at the close of the second quarter, while working capital increased to $55 million from $49 million. To wrap up, Genie delivered another very strong quarter and remains well positioned to continue delivering on its plan. That concludes my discussion of our financial results. Now operator, back to you for Q&A.
Operator: [Operator Instructions] Our first question comes from Aaron Shafter with Great Mountain Capital Management. Please go ahead.
Aaron Shafter: Hi, gentlemen. Congratulations on yet another great quarter, especially the record customer numbers. Regarding your acquisition of your partner's stake in Orbit, did I get it to hear correctly, that you believe it'll be accretive with your earnings within two years?
Michael Stein: Yes.
Aaron Shafter: Okay.
Michael Stein: We believe that the overall losses in 2021 will be significantly lower than they had been in the past, and we'll still be able to grow the business. But yeah, profitability for the next two years.
Aaron Shafter: Good. And I noticed that natural gas meters have not been increasing anywhere like your electricity meters. I realize they're a small fraction of your overall business and your revenues. And I'm wondering if you've ever given any thought to leaving that segment to focus your resources and your energies elsewhere.
Michael Stein: Yeah, great question. So yeah, the natural gas business is definitely a little bit of a harder business, a little less profitable on a per-meter basis than the electricity business. But we do believe that it provides an important bundling opportunity for both customers and our salespeople. We want to have more to sell either at the door or on the phone or wherever else they might contact customers. So we certainly do not have any intention of leaving that business anytime soon.
Aaron Shafter: Okay. And as far as Afek is concerned, you said you started the latest well test. And the initial - did you say the initial information was unclear, and you expect to get results possibly by the end of this month? When is the latest that you'd expect to get anything definitive?
Michael Stein: Unless there is some kind of significant delay, which could be related to something completely out of our control, which, of course, is possible these days, it could be later. But we are actively, even today, working on the site. Well, actually not today cause it's Sabbath in Israel. But by now - but starting back up again on Sunday. But we were - yesterday, the day before, we are actively working on it. And we're not planning to send information to a lab to tell us what the results were. We are expecting to see it - either see it or not see it with our own eyes, and that'll determine our next steps.
Aaron Shafter: Okay. Also, you're producing a lot of cash and margin, your cash on hand and working capital. And I'm wondering if we should expect any more buybacks or raising the dividend.
Michael Stein: Yeah. So we got - we did a very small amount of buybacks. We were - I guess, we set the limit price on our 10b-5 a little bit lower than maybe we could have. We try to be very opportunistic with our buybacks. And we did just raise the dividend only two quarters ago. So everything is always on the table, but no immediate plans right now.
Aaron Shafter: And finally, you mentioned that you're planning to go into some new territories domestically if the - there isn't a problem with the COVID-19 regulations. Can you tell us which those territories there are - they are?
Michael Stein: Yeah. There are a few new utility territories within the states that we operate, 'cause every utility has a starting process that we need to get through in order to start marketing there. But above and beyond some of those individual utility territories in the states that we're already marketing, beyond those, we're looking at starting in Georgia and Michigan any day now. I would say they'll be additive, but I don't expect like a fundamental, tremendous lift from them, but they certainly will be additive.
Aaron Shafter: Right, it's just going to be starting. All right. Thanks, and wishing you guys continued success.
Michael Stein: Thanks.
Operator: [Operator Instructions] Showing no further questions, this concludes our question-and-answer session and the conference call. Thank you for attending today's presentation. You may now disconnect.